Operator: Good day, ladies and gentlemen, and welcome to The Toro Company's Third Quarter Earnings Conference Call. My name is Shannon, and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of today's conference. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's conference, Heather Hille, Director of Investor Relations and External Communications for The Toro Company. Please proceed, Ms. Hille.
Heather Hille: Thank you and good morning. Our earnings release was issued this morning by Business Wire, and a copy along with the investor deck can be found in the Investor Information section of our corporate website, thetorocompany.com. On our call today are, Mike Hoffman, Chairman and Chief Executive Officer; Rick Olson, President and Chief Operating Officer; Renee Peterson, Vice President, Treasurer, and Chief Financial Officer; and Tom Larson, Vice President and Corporate Controller. We begin with our customary forward-looking statement policy. During this call, we will make forward-looking statements regarding our business and future financial and operating results. You all are aware of the inherent difficulties, risks, and uncertainties in making predictive statements. Our earnings release as well as our SEC filings detail some of the important risk factors that may cause our actual results to differ from those in our predictions. Please note that we do not have a duty to update our forward-looking statements. With that, I will now turn the call over to Mike.
Michael Hoffman: Thank you, Heather. And good morning to all our listeners. This morning, we are pleased to announce record third quarter earnings. Our net sales for the third quarter decreased 1.4% to $601 million, net earnings per share rose 6.4% to a record $1 per share. If not for unfavorable currency rates, our third quarter sales would have been flat. Year-to-date sales increased by just under 1% with earnings of $3.58 per share. Our professional segment sales grew 1.4% for the quarter, driven primarily by demand for our golf equipment and irrigation offerings as well as our rental and specialty construction products. Lower channel demand for landscape contractor equipment somewhat offset these gains for the quarter. While retail demand for walk power mowers and zero-turn riders was solid through the summer, our residential shipments declined 4.6% for the quarter due to the channel reducing field inventories below last year's level. Overall, it was another solid quarter. We're also pleased to announce that our board of directors declared a 2-for-1 stock split in the form a 100% stock dividend. The stock dividend will be distributed September 16 to shareholders of record as of September 1. Following a brief commentary on the state of our company through the first nine months of the fiscal year, Renee will discuss our financial and operating results in more detail, followed by Rick who will discuss our outlook. First, our golf equipment business had a very good quarter. Momentum from the robust start of the 2016 golf season continued through the quarter, thanks, in part, to favorable golf weather conditions, resulting in a promising uptick in golf rounds played. Increased play helps spur strong demand for our innovative equipment offerings. We were pleased to be able to showcase our industry-leading products in July during the PGA Championship held at the venerable Baltusrol Golf Club in New Jersey, a Toro customer since 1922. We've been privileged to work hand in hand with Baltusrol's renowned Director of Grounds, Mark Kuhns. Through his noteworthy career, he has successfully hosted a number of major championships over the years. We're honored to be associated with Mark and Baltusrol Golf Club. Along with our high-performance equipment, the Baltusrol grounds group, like countless other leading courses, uses our latest irrigation solutions to maintain optimal playing conditions. Their pristine greens and fairways serve as testimonials to the quality of our comprehensive golf equipment and irrigation offerings. Like equipment, our golf irrigation business is enjoying a good year as we continue to benefit from strong golf installation and renovation project sales. A major Toro irrigation project recently received international exposure during the 31st Olympiad as we were honored to support golf's return to the games after 112 years. Our latest irrigation technologies enabled the Olympic course in Rio to responsively manage their water usage without compromising the health and playability of the turf. Industry-leading product performance also propelled our rental and specialty construction businesses in the quarter as commercial and residential construction continues at a steady pace so as demand for our brand across channels. The continued growth of the compact utility loader market provides promising sales opportunities for our market leading TX 1000 that set a new industry standard with its thousand pound lift capacity. Next, although our landscape contract to business hit a bit of a speed bump in the quarter, strong demand for our professional zero-turn riding and stand-on mowers resulted in overall sales finishing ahead on a year-to-date basis. The dip in the quarter was due in part to heightened demand a year ago for newly released products as well as softening of retail during the quarter following a robust activity early this spring. We're poised for wholesales of products that offer contracts with best-in-class productivity, versatility and operator comfort. As anticipated, our BOSS snow and ice management business also experienced a softening demand in the quarter following lighter snow fall this past winter. Our contractors' enthusiastic response to our latest products including a highly innovative expandable Plow and a new V blade for half-ton trucks generated encouraging pre-season sales activity. BOSS continues to lead with expanded offerings of highly innovative solutions for the worse snow and ice conditions winter can muster. Demand for innovative solutions also delivered strong results in our micro irrigation business. Increased sales of our Aqua-Traxx tape with FlowControl and our BlueLine pressure-compensating dripline delivered gains for both the quarter and the first nine months. Agricultural customers value the flexibility, control, and efficient water management capabilities our products provide. Similarly, our residential and commercial irrigation offerings enjoyed a good quarter, driven by increased channel demand and increased do-it-yourself retail activity. This demand resulted in part from a slow start to the irrigation season that pushed more sales into the third quarter. Conversely, an early start to the spring mowing season resulted in mixed results for our residential equipment business. Walk Power Mower sales got off to a quick start this year, pulling more sales into the first half of the year. However, the momentum slowed during the summer, along with the rest of the industry, due to challenging weather conditions, along with the channel's reduction of field inventories. This one-two effect on Walk Power Mower activity resulted in decreased sales for the quarter, yet increased sales year-to-date. Sales of our zero turn riders were mixed, with good retail demand domestically but softer demand internationally. Similar to Walk Power Mowers, our riding products' field inventory is down compared to a year ago. Increased [indiscernible] shipments helped – also helped to offset the overall shortfall in the third quarter. Combined impact of walk and riding demand resulted in a decline in Residential segment sales for the quarter and year-to-date. Finally, our international businesses faced a number of regionalized challenges that ultimately delivered decreased sales for the quarter and the year. While most of our professional businesses saw growth in various countries, residential saw fewer bright spots. Challenges included unfavorable currency rates, adverse weather conditions, and the uncertainty caused by Brexit. Where favorable market conditions prevailed, acceptance was strong for our innovative products across businesses. Overall, we are pleased with the third quarter results. Field inventory is somewhat higher on the professional side, but at manageable levels as we head into the fall selling season. We're confident with our prospects for successfully closing out fiscal 2016. I will now turn the call over to Renee for a more detailed discussion of our financial results.
Renee Peterson: Thank you, Mike, and good morning, everyone. As we reported earlier this morning, net sales for the quarter were $601 million, compared to $609.6 million for the same period a year ago. Without the impact from currency, our sales would have been flat. We also delivered net earnings of $55.8 million, or $1 per share, compared to $0.94 in the third quarter of fiscal 2015. Year-to-date net sales were up nearly 1% to $1.924 billion. We achieved net earnings of $200.8 million for the first nine months, or $3.58 per share compared to $3.13 per share a year ago. Professional segment sales were up 1.4% for the quarter to $427.8 million, led by our golf equipment and irrigation in our rental and specialty construction businesses. These gains for the quarter were somewhat offset by lower channel demand for landscape contractor equipment. Year-to-date, Professional sales were up 3.6% to $1.362 billion. Fueled by demand for our golf, landscape contractor, and rental and specialty construction equipment. Professional earnings for the quarter totaled $86.3 million, up 4.9% compared to last year. For the first nine months, Professional segment earnings were $289.5 million, up 11.9% compared to the third quarter of 2015. Third quarter Residential sales declined 4.6% to $167.8 million due to reduced channel demand for both walk and riding mowers, which was somewhat offset by higher shipments of snow throwers. Year-to-date, Residential sales decreased 4.9% to $550.3 million. The drop in Residential sales for the first nine months reflects decreased worldwide sales of zero turn riders and snow products. Earnings in the Residential segment for the quarter totaled $15.6 million, 24.2% decrease from last year. Year-to-date earnings were $67.3 million, down 2.6% compared to the first nine months of fiscal 2015. Gross margin as a percent of sales for the third quarter increased 50 basis points to 36%. Gross margin improved by 160 basis points to 36.5% year-to-date. The increase during both periods was due primarily to favorable commodities, productivity and segment mix. We now expect gross margin to increase by about 130 basis points for the year. SG&A as a percentage of sales decreased by 10 basis points for the quarter to 22.4% and increased by 20 basis points year-to-date to 21.4%. We continue to expect SG&A to be similar to slightly higher for the year. Operating earnings as a percent of sales increased 60 basis points to 13.6% for the quarter and by 140 basis points to 15.1% year-to-date. Interest expense was up slightly 1.3% for the quarter, but remained flat year-to-date. Our effective tax rate for the quarter was 30.9% compared to 31.3% last year. For the first nine months, the tax rate was 30.5% compared to 30.4% for the same period in 2015. We now expect the full year tax rate to be about 30.5%. Turning to the balance sheet. Accounts receivable for the quarter totaled $202.4 million, down 11.2%. Net inventories decreased 6.6% for the quarter, to $327.1 million. Third quarter trade payables were $172.2 million, up 1.3% from a year ago. Our networking capital as a percent of sales stands at a 12-month rolling average of 16.4%. We are refining our outlook for free cash flow, which we now expect to be about $220 million for the fiscal year, up $20 million from our previous guidance. The total year improvement is driven by a lower estimate of capital expenditures for fiscal 2016, and slightly higher net earnings. We now expect total year capital expenditures to be about $50 million. During the third quarter, we repurchased approximately 316,000 shares of stock under our board authorization. There are 4.3 million shares outstanding under our authorization. Year-to-date, we have spent $69 million on total stock repurchases, and we expect to spend approximately $100 million on stock repurchases in fiscal 2016. I will now turn the call over to Rick to discuss our outlook.
Richard Olson: Thank you, Renee. And good morning, everyone. Today's fiscal 2016 has been another good year for Toro. We are well-positioned to successfully close out this quarter and the year. In light of solid growth and golf rounds played and the course revenue it generate, the prospects for fourth quarter equipment sales should be favorable. And we have a number of summer irrigation replacement and renovation projects were attracting loan. Recently launched innovations like our new Lynx Smart Hub field controller has a range of 2 miles and the ability to control up to 1,000 sprinklers per hub are attracting superintendents as they provide enhanced convenience, accessibility and productivity. Back in 1927, Toro equipment helped Worcester Country Club in Worcester, Massachusetts prepare their course to host the first Ryder Cup. That was the start of one of the grandest traditions in the sport which Toro has been fortunate to play a supporting role in time and time again. When the best players from Europe and the United States tee-up next month at Hazeltine National Golf Club here in Minnesota for the 2016 Ryder Cup, they will experience an immaculate course, cared for using Toro's latest golf equipment irrigation systems. Our relationship with Hazeltine goes back to the clubs founding in 1962. We are honored to partner with Hazeltine's golf course superintendent Chris Tritabaugh and his fine team as they prepare to host this prestigious event. Next, correct forecast by the American Rental Associations suggest rental in construction markets will remain strong for the remainder of 2016 and into next year. Our rental and specialty construction business have a solid order base for the fourth quarter. Demand for the TX 1000 Compact utility loader shows no signs of slowing down and strong fiber optics and other utility projects bode well for underground products. We also have some exciting innovative products for our rental and contractor markets at the launch in the first quarter of 2017 to keep our rental and specialty construction business momentum going strong. Our landscape contractor businesses are similarly poised to launch important new products in the weeks ahead. These include a line of commercial zero turn riders targeting homeowners with acreage and small to medium-sized landscape contractors, featuring upgraded performance specifications and a unique approach to versatility. These products are designed to significantly increase operator productivity. The GrandStand MULTI FORCE stand-on product line equipped with BOSS snowplow attachments that we've mentioned in previous calls will also hit the market this quarter just in time for the snow season ahead. Speaking of BOSS, we are cautiously optimistic about our snow and ice management prospects for the coming winter. While we expect pre-season activity to be slower due to last winter's limited snow event, the BOSS channel is enthusiastic about our latest product introduction that Mike mentioned earlier, and trucks are selling at a healthy pace. Next, if favorable weather conditions prevail, the late summer and fall months should present additional sales opportunities for our residential equipment business as well. Promotional plans are in place to drive late season retail. Like BOSS, pre-season residential snow activity will be moderate compared to the last two years, but it should pick up to normal levels when the snow fronts hit. Finally, our international business will continue to face a variety of challenges already discussed. Our international team will work closely with channel partners to take advantage of opportunities that occur. I will now turn the call over to Mike for his concluding comments.
Michael Hoffman: Thank you, Rick. So all said, we now expect revenue growth for fiscal 2016 to be flat to up 1% with earnings per share for the year of about $3.95 to $4. As always, we will remain flexible and prepared to respond to market conditions. Before closing, I have a few personal comments to offer. You may recall a year ago during our FY 2015 third quarter call; I talked about Rick Olson having been named President and Chief Operating Officer. Last month, we announced that our board of directors has elected Rick President and Chief Executive Officer, effective November 1st, and then I will continue on as Chairman for a while. As I said at the time, the board and I are pleased and confident in the handing off of the duties of CEO to such a strong and proven leader as Rick. While I am not leaving as yet, this is the last earnings call in which I will directly participate. It has been my real pleasure working with all of you, and I want to thank you for your interest in our company. I'm confident our company will continue to perform to please you and all our stakeholders in the years ahead. I'd never like to end the call without expressing my appreciation for the commitment and hard work of our employees, our distributors, and other channel partners around the world. They make the difference in our company's success. Together, we will finish the year strong; set the stage for a successful 2017. Thank you and this concludes our formal remarks. So we'll take your questions at this time. Shannon, back to you.
Operator: [Operator Instructions] Your first question comes from Sam Darkatsh with Raymond James. You may begin.
Sam Darkatsh: Good morning, Mike, Renee, Rick. How are you?
Richard Olson: Doing great.
Michael Hoffman: Good morning, Sam.
Renee Peterson: Good morning.
Sam Darkatsh: Before I have my questions, Mike, it's been an absolute pleasure working with you over the years. Best wishes on your next chapter, and, Rick, absolutely congratulations on being named at the new post.
Richard Olson: Thank you, Sam.
Michael Hoffman: Thank you.
Sam Darkatsh: A few questions. First off, wonderful job with inventory management sequentially during the quarter. Where would you optimally like to see inventories by fiscal year-end?
Renee Peterson: Well, Sam, we were happy also to see the progress in inventory and it really was a focused effort to align our production with our outlook and focused on bringing that inventory level down. However, I have to admit, I mean our team is disappointed in our working capital initiatives thus far. We hope to see more progress related to inventory, so we'll keep that focused on inventory. And as we've said before, we do expect that year-over-year; our inventory will be down at year-end. And that is incorporated into our cash flow forecast.
Sam Darkatsh: To a greater degree that it was down year-on-year in the third quarter?
Renee Peterson: I don't know if we'll see this the same type of step change, but we are focused on – I know, certainly, if we could drive it down further, we will but focused on bringing it down year-over-year.
Richard Olson: I think Sam, the fact is, we're long ways away from our kind of destination time goal and so it's going to have to come down steadily to get – it's a big set of progress we need to make to get to that goal or close to it.
Sam Darkatsh: Second question if I could, I recognized and respect you're not giving guidance yet for fiscal 2017. But here in August, you should have at least an early read on what your commodity costs, and potentially your pricing looks like on a net basis. Could you give us directionally some ideas on that?
Richard Olson: Well, I think we're literally in our planning process for fiscal 2017 on a pricing standpoint. We really can't give you much direction there. I mean again, we don't – price to cost as we've said many times, we price to what the market will bear and that'll be influenced by what innovations we're bringing, what our competitive conditions are going on and so forth. I don't think at this point we expect to see a step change in [indiscernible] but much work needs to be done there, so I wish we could give you a little more precision, but we'll be doing that – or someone will be doing that with you in December.
Sam Darkatsh: And last question, if I could. Your fourth quarter guidance has a sales range of maybe $30 million to $35 million on the low end and the high end based on your annual sales guidance. And I think some of those – some of your businesses have largely been pre-determined whether it's initial sell-in for snow or for some of the Residential shipments, as the retailers work their inventories lower. What sorts of variables are you keeping your eyes on or are the most likely to determine whether you hit the low end or the high end of your sales guide for the fourth quarter?
Michael Hoffman: There is always variability, and you mentioned both of them. To what degree will we see retail both for the lawn and garden products through the remainder of the kind of the fall period? We have a blower season coming up, and then snow is a bit more a wild card and that will be all about the pre-season of our fiscal year-end at the end of October. And so, we have a good idea, but could we see some additional velocity with snow, a little more pickup than we would have anticipated perhaps? Will we see a stronger – what's the residential lawn and garden equipment or the landscape lawn and garden equipment going to look like over the next couple of months? So it's not – I would say, it's not that wide of range, but that is obviously factored into our guidance. We're hopeful, trying to get to the high side of that, but that remains a work in progress.
Sam Darkatsh: Understood. Thank you. Thank you all again. Appreciate it.
Renee Peterson: Thank you.
Michael Hoffman: Thank you.
Operator: Your next question comes from Jim Barrett with C.L. King & Associates. You may begin.
Jim Barrett: Hi. Good morning, everyone.
Renee Peterson: Good morning.
Michael Hoffman: Good morning, Jim.
Jim Barrett: Mike, I also wanted to congratulate you on your tenure and your track record as CEO of Toro, too. It's very been really impressive.
Michael Hoffman: Thank you, Jim. 39 years went by really quick.
Jim Barrett: I'm sure it did. I do have a question for you on your Destination PRIME targets, your sales targets. When you look at your new product pipeline over the next one, two years, how strong is it relative to your historical introductions in terms of having the potential to drive you to your Destination PRIME sales target?
Michael Hoffman: Well, our Destination PRIME sale targets have been and will be looking forward to FY 2017 of a 5%, and obviously, we are very close to that last year. We're going to fall short of it this year and not from a lack of new products or not from a lack of execution. I would say largely market conditions, but we don't control those, right? So...
Jim Barrett: Yeah.
Michael Hoffman: Over half that impact was snow. Mother Nature has been challenging this summer as well. Economic environment saw some of the European conditions that we've talked about. So these are goals in our guidance. We will now re-engage in that for fiscal 2017. And I don't know, Rick can you talk about that?
Richard Olson: Yeah. Certainly. For those factors that are within our control, first of all, the products that we've launched recently have been very well received. We mentioned in the earlier discussion that we have products that are just ready to launch over the next year that we're very excited about. And we continue to invest strongly in new products as a percentage of sales and are excited about the prospects forward. So from those factors that are within our control in terms of new product introductions, we feel very positive about that.
Jim Barrett: Okay. Understood. Thank you both. And, Renee, I believe you said the free cash flow guidance for the year was $220 million?
Renee Peterson: That's correct.
Jim Barrett: And $60 million worth of capital spending. Does that indicate working capital will be a use of cash in the fourth quarter?
Renee Peterson: Well, what we've talked about is specifically related to inventory, and we expect inventory to be down year-over-year, at the end of the year, and I would expect, just spending on timing of sales, receivable continues to perform while we've been continuing to transition customers to our Red Iron joint venture, and payables have been good. So I think inventory is the driver in our working capital, and we expect it to be down at year-end.
Jim Barrett: Okay. Well, thank you very much.
Richard Olson: Thank you, Jim. I think we're going to ask you to hold just for a second. I think we're having some technical. Okay. I guess it’s back. We're fine. Go ahead. Go ahead, Shannon.
Operator: Your next question comes from Eric Bosshard with Cleveland Research. You may begin.
Eric Bosshard: Thank you. Two things. First of all, in terms of the inventory progress, just curious in working through the numbers, Renee, sales a little bit softer, inventories down notably, and the gross margins better, and also the change in receivables. I guess when I connect all those, it seems like that's a difficult thing to accomplish all at once, so I'd love to understand a little bit better how all those parts are connected and accomplished at the same time.
Renee Peterson: Okay. So starting, I guess, with inventory, as we talked about in our last call, we recognize that our inventory was a little bit higher than we would have liked, and we worked hard in the quarter to align it with our sales outlook and also field inventory decline. So with that, we did see some impact of manufacturing variance as we aligned our production and you see that primarily in our Residential margins. So, overall, margins were good. Commodities were helpful for us when you look at the overall Toro margins as well as our focus on productivity. But we did see some impacts certainly in manufacturing variance within the Residential side. Receivables continue to be strong from our standpoint and we have good discipline in this area, as well as, again, our Red Iron's joint venture with TCF. We continue to transition customers to that joint venture which helps us from a receivable standpoint, and payables has continued good performance but not as significant debt change.
Eric Bosshard: In the Red Iron piece related to receivables, is that – is the trend line of that sort of these businesses move from you to them because that's similar to what it's been or has there been a strategic emphasis to better utilize that relationship?
Renee Peterson: I think – go ahead.
Thomas Larson: Yeah, Eric. This is Tom. In the past year, we did have a few customers move over to Red Iron as they've not been there before. We've got a lot of our dealers and distributors of our old array on Red Iron. We had some in both the Exmark business and in the BOSS business move over there in the last year. So that's good chunk of that change that you see in receivables year-over-year as well as the split, the biggest piece that we keep on our books as the international piece and just with our currency rates that also has a downward effect on these receivables balances.
Renee Peterson: And now, we'll just add that the BOSS transition is underway. There are still some customers who haven't transitioned over and we'll look to that for the future as well.
Eric Bosshard: And just back in terms of inventory, the sales shortfall, you've reduced your inventories. The channel – just to be clear, the channel has less inventory than a year ago as well even though they've sold less than they initially planned. Is that correct?
Richard Olson: No. As we've said in the remarks, the Residential inventory – channel, inventory is down somewhat. Professional inventory is actually up. So overall, we're up somewhat. But channel inventories are very manageable.
Eric Bosshard: And then – that's helpful. And then the second thing, the revenue guidance, where you are now relative to where you started the year, which I think has gone from four to zero to one, and certainly weather plays out differently every year. But as you've looked at that performance any way or how are you thinking about your performance relative to the market, any areas of market share outperformance that you think is notable, or any areas of market share underperformance that you're thinking about especially as we move towards 2017?
Thomas Larson: Yeah. Good question. So as we talked earlier, probably the most significant factor in that decline was snow. And I mentioned some other kind of challenging Mother Nature and economic challenges. But as we look across the portfolio competitively, I don't think we feel like there's any place that we really are losing any share. I don't think we've – by the same token, we've not seen a step change toward [indiscernible] much stronger share. But – and we wouldn't necessarily expect that. But directionally, I mean, I think our portfolio of products in golf is as healthy and robust as it's ever been. And so golf, I think is at or slightly up in share for both the equipment and irrigation. On the landscape contractor side, we have the two leading brands there with Exmark and Toro, and same thing is true there. A large part of that business is riding products and that is very healthy. But it goes beyond that, the walk-behind units and heavy-duty mowers. Those are sound residential, commercial, irrigation, as said in the remarks, is benefiting from housing and commercial construction, and we believe that share is moving positively in the right direction. And then kind of last one would be at a smaller part of the portfolio, rental and specialty construction products. We think actually the share is moving up there and on some of the products like the underground, very small base, but we're making some progress there. More specifically, rental and specialty construction will be, like we mentioned, the TX 1000 loader has been just a great success. We had a really good share in the compact utility loader area to begin with, but we probably have even higher share now. So, I mean, that's what drives our engine here is innovative products and hopefully moving share in the right direction. And as Rick mentioned earlier, that's been good, and we think the outlook for the rest of this year and 2017 with new products continues to be very good.
Eric Bosshard: And then just last piece to follow-up on that, in terms of the underlying market demand and the influence of weather is difficult to break out, which I appreciate, but in terms of the underlying market demand relative to the influence of weather, do you have a sense of what's different when you look at the two or three points of less revenue this year? Is half of it the market grew slower and half of it is the impact of weather? Do you have a sense of that? And I'm asking that in light of thinking about how we should be considering 2017.
Michael Hoffman: I think – again, we're going to go back – we're not providing guidance yet, but you understand what our goals are. And so half of the impact for the year was the snow, the variability, and currency was another 1.5 point of it, so therein it's probably three quarters of the headwind we faced. And then you throw in some other aspects of Mother Nature. So I think going forward, actually we think our markets will – I mean, some of these will, I would say, bounce back but will start moving back in the right direction. Assuming we got a reasonable winter, then that should be very positive.
Eric Bosshard: Okay. That's helpful. Thanks and best of luck, Mike. Thank you.
Michael Hoffman: Thank you, Eric.
Operator: Your next question comes from Joe Mondillo with Sidoti & Company. You may begin.
Richard Olson: Good morning, Joe.
Joe Mondillo: Hi, everyone. Good morning. Just a couple of questions. One, in terms of your corporate costs, it seems like they were down 15% in third quarter, but they were sort of relatively flattish for the first nine months. Just wondering if we can expect sort of the fourth quarter to be similar year-over-year to make the year comp similar.
Renee Peterson: Okay. Yeah. Our corporate costs were down within the quarter. There is some element of timing that always plays into that. Overall, I think we had good focus on cost control. We did adjust our incentives so that's a piece, Joe, that's impacting the quarter given our performance and our outlook. And then I guess the last thing that I would mention is that we did talk about a divestiture of one of our two company-owned distributors and so some of that cost would have been captured in our corporate costs as well. That being said, we think there's continued opportunity for us to drive down our SG&A cost and we'll be focused on doing that as we go forward.
Joe Mondillo: Okay. So looking at the fourth quarter, it sounds like maybe similar, but maybe slightly down just given the changes that you've made to compensation and maybe the divestiture. Is that sort of fair?
Renee Peterson: I think that would get you to our guidance which is similar to slightly higher for the year is what we think overall for SG&A.
Joe Mondillo: All right. And then just regarding the gross margin expansion that you've been able to see especially at the Professional segment, just wondering sort of going forward, is that sort of tailwind with the commodities, pricing, productivity, is that getting more and more challenging going forward, do you think?
Renee Peterson: Well, as we look for the remainder of the year, we don't expect to see a big change in commodities, so we do expect to see some favorability year-over-year. It's a small quarter for us in Q4, so we're not producing a lot, and purchasing a lot within that quarter. We'll continue to focus on productivity. And then within Professional, product mix also impacts us and makes a difference within the segment itself. So we continue to see opportunities and really having as Mike said earlier, haven't defined our guidance for fiscal 2017 as of yet.
Joe Mondillo: All right. And then lastly, golf, it looks like you're going to – the season's going to see a second straight year of year-over-year growth of rounds played. I don't think we've seen that in 15-plus years. Are you starting to see an acceleration in your golf revenue, or is it – I know you've always talked about how it's been sort of steady, low-single digit type of growth. But are you starting to see an acceleration just given the strength that the industry has been seeing?
Michael Hoffman: I think we would say if steady remains the right term and the commentary on [indiscernible] a lot of this goes on. Again, remember, we look at golf in a kind of a global context to worldwide view. And so, there are still some pressures here in the U.S. There still will be some additional courses closed. There's no doubt about that, it's a more competitive environment. But there are many healthy courses and there's still a great interest and the core developers continue to play the game and as you had mentioned, golf rounds are up year-over-year. It's fun to see that come back to the Olympics. And so we continue to look at the golf business, the combination of equipment and irrigation on a worldwide basis as a healthy low-single-digit growth kind of business. Nothing has really changed there.
Joe Mondillo: Okay. Great. Thanks for taking my questions.
Michael Hoffman: Thank you, Joe.
Renee Peterson: Thank you.
Operator: Your next question comes from David MacGregor with Longbow Research.
David MacGregor: Yes. Good morning, everyone.
Michael Hoffman: Good morning, David.
David MacGregor: Yes. Good morning. Mike, good luck to you. Thanks for everything you've accomplished here. I guess just to pick up on that last question on golf and kind of the bigger picture on golf, are the golf renovations projects on average becoming larger in budget, and what are you seeing with trends on the scope of projects? Is it positive for your business? I know for some time the thesis around golf irrigation had been that rising regulation in cost of water was going to push courses to invest more aggressively on the irrigation side. I'm just wondering if that's starting to come through now more visibly.
Richard Olson: Well, this is Rick. I'll take that question. First of all, just to build on the last comment, as we have strung together some increasing rounds in the last couple of years, it has given the courses confidence to go ahead and make capital purchases they have delayed. And with regard to the size, I guess I can't say that the size of the projects has necessarily increased. But what has changed is the benefits from increasing or improving the technology that's involved. So there's a greater benefit changing and upgrading this technology, and those related to the things that you mentioned, much more [indiscernible] of water, better use of resources. So that is a driver.
Michael Hoffman: I might add one element to that is, as they look for more precision on their irrigation on the courses, one of the things that it does require is typically more irrigation heads, which is a core part of what we sell. So we actually benefit from that, and as Rick mentioned, the technology to drive those heads. In Rick's earlier remarks, he talked about the Smart Hub that connects to our Lynx system. And so, there's a – you can make a good case. I mean, it's a combination for many of these courses if – there's the economic argument. In many cases, it's more just that their old system is causing problems, and that it's interfering with the golfing experience, and of course, as they are saying, it's time for us to make the commitment to capital and upgrade it. And with all those courses that were built in the 1990s, it does provide for us a great ongoing opportunity to – irrespective when a new course gets built, domestically we can go in the older courses and replace the system. We'll see more of the new courses getting built outside the U.S. though. Again, I expect that earlier golf, discussion of golf [indiscernible]. It's a good business for us and we continue to keep good attention on it.
David MacGregor: And do you think the marginal course or the incremental course that would have maybe in a more difficult environment of used gear is now buying new gear and is that contributing to growth for you?
Michael Hoffman: So, I think one of the phenomena – things that have changed in our industry is, we back up several years, kind of have this – they bought new capital equipment where the used stuff was essentially used and worn out. That was your alternative. Today, because of the particularly for the higher level, the A-level course, whatever it is, they are running capital leases or I should say capital leases, through operating leases and they're running equipment for three years or four years and they're returning it and getting new. And that's created a great opportunity to take that somewhat used but still has a lot of asset value left, that used equipment out to the C and D level of courses and make it really effective versus they're trying to stretch out by just one new piece from a capital standpoint, so... And the good news for us is our equipment tends to hold this value better on the turn and so it just creates an opportunity for us against competition.
David MacGregor: Thanks for that. And just last question, within the Residential segment; I guess your decremental margins in the quarter were nearly 100%. And then, I realized you had a lot going on there, there was the manufacturing variance, you probably had some FX. You did have some lower commodity pricing as you've indicated. Is there any way you can – the mix difference obviously – but is there any way you can deconstruct that and just help us understand some of the moving parts behind that large decremental number?
Renee Peterson: Yes. It wasn't a tough quarter for Residential. And as you pointed out a lot of the factors that came into play, what I would suggest is maybe looking at the year-to-date margins are more representative of what you can expect from a Residential standpoint. So what we saw was, as you point out the impacts of the benefit of commodities are focused on productivity, we did see some impacts from pricing support in acompetitive environment, and then the manufacturing variances associated with aligning our volumes with outlook and some impact from FX as well. But I think that if you look at the year-to-date, performance is probably more representative of what you would expect to see in an ongoing basis.
David MacGregor: Renee, is there any way you can give us some color on – if it's manufacturing variance kind of the big one in there or just any kind of orders of magnitude would be helpful?
Renee Peterson: I think manufacturing variance definitely was one of the bigger ones, so it's probably number two. As far as the impacts, pricing support was also a significant impact within the quarter, and then again, commodities and productivity going the other way were probably the three big ones.
David MacGregor: Okay. Thanks very much.
Michael Hoffman: Thank you, David.
Operator: Your next question comes from Tom Hayes with Northcoast Research.
Thomas Hayes: Hi. Thank you. Thanks for taking my call. Just a quick one on the BOSS line. It sounds like the dealer inventories are okay. I was just wondering if you could maybe remind us of the seasonal ordering pattern, because I think it's split over your Q4 and Q1, if I was right, if I'm remembering right.
Richard Olson: I'm sorry. The seasonal order? Can you repeat that?
Thomas Hayes: Yes, the pre-seasonal ordering pattern.
Michael Hoffman: So it is a bit more tight. You get a little bit more in advance because of the – of somewhat more planned nature of this business. And some of that depends on what sort of then retail pre-season you're going to experience. So we ship some BOSS products in the second quarter, we ship some additional BOSS products in the third quarter, and we'll continue to ship that in the fourth quarter. The channel stacks up in anticipation of putting those on the trucks. But in advance, typically, if you contrast it to the Residential business which tends to be more – they're going to make their purchase decision in October and November, whatever. And so if you have a little more kind of near-term variability with BOSS, it's a little more planful and spread out. And so, last year, if you remember, we had obviously good shipments of BOSS in the second, third, and fourth quarter. And that – some of that is following this year. We know it will be a little softer because of the pre-season demand that Rick talked about earlier. Although the good news is for these folks that are buying new trucks, one of the things they do when they buy a new truck, is they typically, in many cases, equip it with a new plow, and that's a planned purchase. And so we're working very close with the channel to make sure we get – take advantage of that.
Richard Olson: I would just add also, the response from the channel to the new products has been even better than expected this year from a pre-season standpoint. So the extendable plow, the V-Plow now available for half-ton truck, both of those in addition to the products we introduced last year helps drive the interest in the pre-season channel.
Thomas Hayes: Great. Thank you for the time.
Operator: Your next question comes from the Mike Shlisky with Seaport Global Securities.
Michael Shlisky: Good morning, guys.
Michael Hoffman: Good morning, Mike.
Michael Shlisky: Wanted to touch briefly on your cash balance to start off here. It's one of the highest that it's been over the last couple of years. I guess I was kind of wondering, if you would imply you're going to be buying back some more shares here in your fiscal fourth quarter. With your stock at an all-time high or very close to it, kind of wondering if you could maybe go over your current use of cash priorities, given what's going on with your stock recently.
Renee Peterson: Well, our use of cash in our capital allocation really remains consistent as it's been in the past. So we focused – we do look internally, and ensure that we're properly flipping our plans that we're investing in R&D as Rick mentioned earlier. So we look first internally to operate efficiently and continue to invest in innovation. Our second priority continues to be strategic M&A, and that as we've talked about in the past, we stay disciplined in this approach, but it's also related to timing and when targets are actionable or not. So that continues to be our second priority. And beyond that,– continuing to grow our dividend and we've demonstrated that, continue to focus on growing the dividend in a reasonable and responsible manner, beyond that, then we look at share repurchases. So we are looking for the total year at about $100 million in share repurchases. We do run a discounted cash flow model related to our share repurchases to ensure that we feel comfortable we're adding value from that standpoint. But it isn't our top priority related to our capital deployment. But we feel it's the prudent – assuming the price is at a reasonable level, its prudent use of cash versus having it sit in the bank where we're really not earning anything from a return standpoint.
Michael Shlisky: Great. Just to follow-up on that then, I mean, Renee, couldn't you really – couldn't you invest in your business, as you've kind of laid out in your CapEx for the rest of the year, and buy back some shares and do a decent-sized [indiscernible]...
Renee Peterson: Yes. I think we have both the cash as well as the leverage flexibility to do all of those, but we want to remain disciplined. Related to our capital expenditures, we make sure that we're adding value and returning a good return on investments. Then the same is true for M&A as well and being disciplined around share repurchases. So just because we can doesn't mean we should. We want to remain – make sure that we're continuing to add value to the company.
Michael Shlisky: Got it. Also want to ask a quick question about the golf business. I think it was last quarter where you had mentioned there were some new products being rolled out and have done well for some of the more budget-conscious courses out there. I guess it's a two-part question. First, I guess how are those products doing, and have they created any kind of shift in the margin mix for you in your golf business? And secondly, has there been any changeover from some customers that may have bought a higher end product in the past that might be stepping down to this [indiscernible] I am sure is a nice new product at a lower price point?
Michael Hoffman: Yes. I think, again, we have a very high share of the golf equipment and irrigation business, and we've not seen any kind of change there. So these are still – they may have a few features off of these products, but they also then have somewhat lower cost. Whether that's a smaller or less expensive fairway mower, the same thing is true for the greens. We did bring out – we did expand our line which has been very successful or expanded our line of lighter-duty vehicles. So we had a heavy-duty vehicle. We had a mid-duty vehicle. Now, we have a kind of a lighter-duty vehicle that golf courses need and use. And so that helped us grow that part of the business. So, no, nothing going on that says, boy, we're going to see some marginal impact on the business because of lower-cost products, if you will.
Michael Shlisky: Okay. Great. I'll just leave it there. Mike, congrats.
Michael Hoffman: Thank you, Mike. That's appreciated.
Operator: This concludes the question-and-answer session. Ms. Hille, please proceed to closing remarks.
Heather Hille: Thank you for your questions and interest in The Toro Company. We look forward to talking with you again in December to discuss our results for the fiscal year. Thank you.